Operator: Good day and welcome to the Perion Fourth Quarter 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Miss. Stephanie Mazer, Perion Investor Relations. You may begin.
Stephanie Mazer: Thank you and we appreciate the attention of everyone who is joining us today. On today’s call, management will be reviewing the financial results and business highlights of the fourth quarter and full year results of 2014. The press release detailing the results is available on the Company’s Web site at perion.com. Before we begin, I’d like to read the following Safe Harbor Statement. Today’s discussion will include forward-looking statements. These statements reflect the Company’s current views with respect to future events. These forward-looking statements involve known and unknown risks, uncertainties and other factors, including those discussed under the heading Risk Factors and elsewhere in the Company’s annual report on form 20-F and subsequent filings on form 6-K, that may cause actual results, performance or achievements to be materially different from any future results, performances or achievements anticipated or implied by these forward-looking statements. The Company does not undertake to provide any forward-looking statements to reflect future events or circumstances. In addition, and as in prior quarters, the results reported today will be analyzed on a non-GAAP basis, which management believes better conveys the operational state of the business. We have provided a detailed reconciliation of non-GAAP measures to their comparable GAAP measures in our earnings release, which is available on our Web site, and has also been filed on Form 6-K. With that, I’ll turn the call over to Josef Mandelbaum, Chief Executive Officer, Josef?
Josef Mandelbaum: Thank you, Stephanie and good morning everyone. Welcome to our fourth quarter and full year 2014 earnings call. This morning, I would like to briefly review our fourth quarter and full year results, discuss our strategy going forward for our search monetization business and conclude my remarks with an update on our mobile business. Yacov will review the financial results in more detail and we will then open the call to your questions. To start, our fourth quarter results were slightly better than our expectations and guidance, despite a very challenging market backdrop; revenues were $78.7 million, at the higher end of our guidance; EBITDA was $25.2 million; and net income was $20 million, both exceeding our guidance, with earnings per share of $0.27 for the quarter. For the full year, we had $394.2 million in revenues, $126.3 million in EBITDA and $101.6 million in net income, with $1.44 of earnings per share. While our search monetization business continues to face headwinds, we see positive signs emerging from the industry as it finally seem determined to improve overall practices. In the meantime, we continue to manage our search business to ensure robust profitability and cash flow, albeit at a lower revenue level. As a reminder, in the middle of last year, we made the strategic decision to improve the quality of our partners, reduce our marketing spend, shift more of our search business to a revenue share model, and right-size our expense base to better reflect the current business environment. In addition, we have dedicated resources to organically enhance our monetization portfolio to include other forms of advertising and to expand into mobile. In summary, our strategy is focused on developing a more stable foundation for the search monetization business, diversifying our portfolio of monetization products and expanding to other platforms, thus returning to growth, while maintaining our strong profitability and cash flow. Looking forward, we continue to invest our ample free cash flow into the development of our mobile platform, which we expect to be a significant growth driver for Perion over the medium term. As we have discussed, the mobile advertising market, we have forecasted growth rates of 40% a year until 2018, represents a huge opportunity to Perion. While the market is rapidly growing, real challenges exist for mobile advertisers with a new technology stack, very different from the existing advertising technology used on the PC today. Mobile advertising technology is fragmented with mostly single-point solutions that must be cobbled together by advertisers in order to run campaigns. A typical advertiser will use up to a dozen different systems for the average ad campaign. Each system involves a level of reporting analytics and technical integration, along with tedious manual processes. This complexity often results in poor campaign performance and a low ROI. Perion’s GrowMobile proprietary platform offers an end-to-end solution that effectively addresses this complexity, improving campaign performance and ROI. Our automated interface, both streamlines the work necessary to run and scale the campaign, as well as provides the data required to measure and optimize its effectiveness. We have recently reached a very important milestone in our strategic development by launching the beta version of our self-serve advertising platform, and are very happy with the initial customer feedback. We plan to go live with the full version in the next few months. The second important milestone we completed is the acquisition of MakeMeReach, a Paris based premium social advertising startup, for approximately $12 million. MakeMeReach is profitable, with revenues that doubled year-over-year in 2014 and are expected to do so again in 2015. MakeMeReach has proprietary self-serve technology and is a Facebook Preferred Marketing Developer, or PMD, as well as a Twitter Marketing Platform Partner or MPP. By adding MakeMeReach to our GrowMobile platform, we now have a complete mobile marketing platform for advertisers with connections to Google, Facebook, Twitter, ad exchanges and most of the large ad networks. MakeMeReach also expand our potential client base by providing us with a strong European presence, a new breed of premium customers, and cross-sale opportunities between our different locations and platforms. Combined, GrowMobile and MakeMeReach, already have over $80 million in managed revenues, representing over 50 active clients. These two metrics, media spend managed via the platform a.k.a. managed revenues and the number of clients using the platform, are key indicators for the business. Our goal is to be, the platform of choice, for mobile advertisers, and to manage billions of dollars of media spend through our platform. With access to all the main mobile traffic sources, GrowMobile is now well positioned to be one of the industry leaders in this $100 billion plus mobile advertising market. Now let me turn over the call to Yacov who will walk you through our financials. Yacov?
Yacov Kaufman: Thank you, Josef. As we’ve done since acquisition of ClientConnect in the beginning of 2014, and explained in our investor calls since then, being that this acquisition was viewed by U.S. GAAP as a reverse merger, we are required to compare our 2014 performance to that of ClientConnect in 2013. Therefore, obviously, the growth seen is to a great extent and sometimes entirely due, to the 2013 Perion performance, not included in the ClientConnect business in 2013. Revenues for Perion this quarter were $78.7 million, decreasing 8%, compared to $85.6 million at ClientConnect in the fourth quarter last year. In the fourth quarter of 2014, non-GAAP revenues included $0.6 million of Perion’s deferred product revenues, which were deducted in accordance with U.S. GAAP as a result of the acquisition. In the fourth quarter of 2013, non-GAAP revenues included $1.5 million of revenues, which in the GAAP report were associated with discontinued operations. The decrease in revenues was primarily the result of our decision, a couple of quarters ago, to significantly draw-back on our investments in customer acquisitions. In the fourth quarter of 2014, we continued to be selective in engaging our marketing partners, preferring premium and higher margin partners. As a result, customer acquisition expenses were $29 million, similar to the prior quarter, although substantially lower than the first two quarters this year and as compared to $53.6 million in the fourth quarter of 2013 spend by ClientConnect. It is also worth noting that to mitigate some of the risk inherent in our lack of visibility, going forward, besides raising the margin bar, we are transitioning a growing portion of our partnerships from a model built on upfront fees, to one built on sharing revenues. Given this business model shift, and the reduction in risk, some of our search revenues in 2015 will be reported as net revenues. As to the rest of our OpEx, we had extraordinary GAAP expenses this quarter that I would like to explain. The largest was a $19.9 million non-cash impairment cost, mostly related to writing-down the desktop technologies previously acquired in the SweetIM transaction, made redundant by ClientConnect technology and the integration with Perion, which was completed in the fourth quarter of 2014. In addition, as you may recall, we announced last quarter reorganization of our business, including the dismissal of about 20% of our work force. We have accrued a $4 million one-time expense related to this reorganization. Adjusted EBITDA in the fourth quarter of 2014 increased to $25.2 million, or 32% of non-GAAP revenues, as compared to $11.7 million, or 14% of non-GAAP revenues at ClientConnect in the fourth quarter of 2013. This improvement was primarily due to the reduction in customer acquisition costs, I mentioned earlier. Perion’s net income in the fourth quarter of 2014 was $20 million, representing a 25% net profit margin, compared to $12.5 million, or a 15% net profit margin, at ClientConnect in the fourth quarter of 2013. While there was an increase in share count, non-GAAP earnings per diluted share in the fourth quarter of 2014 was $0.27, compared to $0.23 at ClientConnect in the fourth quarter of 2013. Looking at our annual performance, revenues for Perion in 2014 were $394.2 million, increasing 20% compared to $328.5 million at ClientConnect in 2013. In 2014, non-GAAP revenues included $5.5 million of Perion’s deferred product revenues, which were deducted in accordance with U.S. GAAP as a result of the acquisition. While in 2013, non-GAAP revenues included $3 million of revenues, which in the GAAP report were associated with discontinued operations. Customer acquisition costs in 2014 decreased to $174.6 million, representing 44% of non-GAAP revenue, compared to $185.4 million which were 56% of non-GAAP revenues at ClientConnect in 2013. The decrease was a result of our aforementioned decision to significantly reduce this expenditure in the second half of 2014, reflecting the headwinds we’ve been suffering from. Adjusted EBITDA in 2014 increased to $126.3 million, or 32% of non-GAAP revenues, almost double the $69 million, or 21% of non-GAAP revenues, at ClientConnect in 2013. Perion’s non-GAAP net income in 2014 was $101.6 million, representing a 26% net profit margin, compared to $57.9, an 18% net profit margin, at ClientConnect, in 2013. As a result, and despite the increased share-count, non-GAAP earnings per diluted share in 2014 was $1.44, compared to $1.05, at ClientConnect in 2013. I would like to sum up the expenditures affecting our GAAP net income and not included in our non-GAAP results. Some of these were, if you wish, standard adjustments, and others were, as I mentioned, unique to this last quarter. In 2014, we recorded $18.7 million in non-cash, amortization of acquired intangible assets, $14.9 million of non-cash share based compensation and $19.9 million impairment charges, mainly associated with desktop technologies acquired and no longer being used, totaling $53.6 million in non-cash expenses. In addition, we had $5.2 million acquisition related expenses and $4 million reorganization costs, described above, bringing the total GAAP expenses, not included in our non-GAAP report, to $62.8 million. In 2013, the GAAP reports included $13.2 million of share based compensation, $2.1 million of acquisition related expenses and $36.3 million, which in the GAAP report were associated with discontinued operations. As a result, net income in accordance with GAAP in 2014 was $42.8 million compared to $28.6 million at ClientConnect in 2013. GAAP cash flow from operations in 2014 was $72 million. And as of December 31, 2014, we had cash, cash equivalents and short-term deposits of $116.2 million, including $37.3 million of net proceeds from the issuance in Israel of long-term convertible public debt. This concludes my financial overview. Let me now share with you our financial outlook for the first quarter of 2015. Given the aforementioned business model shift, some of our search revenues in 2015 will be reported as net revenues, as required by U.S. GAAP. While this will not affect our EBITDA and net income, it is expected to cause our revenues to be lower than it otherwise would have been, by approximately $7 million to $10 million, in the first quarter. With that in mind, we expect revenues to be in the range of $50 million to $53 million, adjusted EBITDA to be in the range of $13 million to $15 million and non-GAAP net income to be in the range of $9 million to $11 million. With that, we will now open the call to questions, Operator?
Operator: (Operator Instructions) And we'll go first to Dan Kurnos of Benchmark Company.
Dan Kurnos: Good morning, let me just start with core search here, before we get into some of the other things. If I add back the 7 million to 10 million for the revenue adjustment, you guys are maybe only a couple of million below what we're looking for Q1. The only thing I would ask is given the fact that we've heard from other people in industry that the Chrome headwinds have largely passed, starting to see a little bit of even CPM or CPC, everyone call it, tailwinds from some of the policy changes. Your Q4 was down significantly sequentially from Q3. But if it’s fairly significant step down in Q1, could just talk about some of the factors impacting that step down in search, if you're churning any of your partners? Or what might be causing that increased step down, Josef? Thanks.
Josef Mandelbaum: Sure, then Yacov, I don’t know if you can give on that one. But thanks for joining the call, as usual. So, the answer I think is twofold. The Chrome issue, I agree, has largely passed I mean kind of reset the bar and we’ve seen that as you know with mostly other public companies that you can see here with in the reporting of the numbers in search as well, what we are seeing is there is still some changes in the marketplace that will assess the business. But the biggest reason you see the decrease in Q1 from Q4 is because we stop spending money in Q3. And as you know the business model work, it’s accumulative. So basically below that spend by $20 million to $30 million in Q3, another $20 million to $30 million in Q4, the impact of that of all the tails that you have in Q1 and Q2 earlier in 2014 has now pretty much been recognized as revenue. And then you’re now going into a new year with usually the fourth quarter looking forward to the time we spend the money. So, what you should see is Q1 -- and pretty much throughout the course of the year with Q2 potentially being a little lower, looking at relatively flattening out and then hopefully increasing over the latter half of the year. The reason that I said is there is some headwinds in the market, mostly relates to the competitors and some issues that, for example, Microsoft, just announced a few -- about a month ago, where they implemented it, where the Microsoft, the MMPC, the Microsoft Malware Protection Center, has now forbid all companies invoking, what they call search protection mechanism, in the search in their product. We are fully compliant with that as the few others in the industry and Microsoft leading the charge and we’ve been supporting them on that. But there are many companies out there, and most of them are fiber companies, who are still doing aggressive processes out there and not being compliant and trying to avoid it. And as you know, it’s relatively primary, so we’re working hard to try to bring in line some of the private companies so that they too adhere to these standards and Microsoft is working hard. And hopefully we’ll have, as an industry we’ll work together to do that. But that’s probably sort of a wildcard out there today in terms of -- they're just going to effective numbers going forward. But the biggest reason, just to sum up, the reductions in Q4 to Q1 is just the expiration of the strong revenue adding Q1 and Q2 of 2013 and the lower revenue spend we had -- the lower media spend or acquisition spend we have in Q3 and Q4. It is now, we think leveled out, roughly, in terms of the acquisition cost. We’re hoping, during the course of the year, we’ll go up again. And obviously we’re hoping that it allows obviously all of our investments, or if that eventually contributing in a much more meaningful way. Anything you want to add Yacov?
Yacov Kaufman: No, I will just advise that you should focus on the customer acquisition costs, just to prove out, if you wish, what Josef said and that is, you’ll find that in the fourth quarter our customer acquisition costs were similar to those in the third quarter. We’re expecting a similar level of cost in the first quarter of 2015 and basically, the deterioration or the decrease that you’re seeing as a result of ageing of our past higher level of spend.
Josef Mandelbaum: Well, actually just one other thing I’d like to mention Dan, in U.S. we have 200 customers and yet we have had -- we have eliminated not small percentage of partners, we would have just stopped dealing with, mainly because they’ve been looking our partnerships with the Bing, the Yahoo, the Google of the world, they have their guidelines and we always try to be compliant with their guidelines. And some of our partners, we just couldn’t trust anymore, based on previous experiences, so we start working with a good percentage of people who are in -- in the year and we stopped working with them as we realized some practices just weren’t acceptable.
Yacov Kaufman: Just one other item I’d like to add, if I may. We did mention that the net revenues will go down to $7 million to $10 million. The reason for that is because what we’re doing is we have a number of revenues and we’re offsetting it from that a similar amount in customer acquisition cost, so that just like your -- and that’s why the EBITDA remains unchanged. So in other words, looking into the first quarter, we would expect that $7 million to $10 million decrease in revenues we’d expect a similar $7 million to $10 million decrease in customer acquisition cost, which is why we expect the EBITDA not be affected.
Dan Kurnos: Thanks a lot there, that’s all very, very helpful. Let me just make sure that I’m getting this completely, Josef, I don’t want to put words in your mouth. But it sounds like customer acquisition costs are flattening out search is going to potentially stabilize in Q2 and could possibly return to sequential growth in the back-half of the year. And from this point on, you hope, also in the back half of the year, to get a larger contribution from inorganic product growth, or possibly acquisition. Is that fair?
Josef Mandelbaum: Yes, with just one minor correction. I think it’s probably, Q3 is really mostly -- I think Q2 maybe a little bit lower, it’s pretty unclear yet, but somewhat the feasibility that we’re facing. But otherwise, everything you said, yes, that’s what we believe will happen. And we are excited about some of the things we’re seeing in the market place, in the search side, specifically, as well as other opportunities. That is correct.
Dan Kurnos: Great, and can you just tell us how much contribution you do expect, call it, maybe in Q1 or the first half of the year, from inorganic contributions?
Josef Mandelbaum: Right now, I couldn’t add that, I don’t have anything specific to moving out to make the recent acquisition, and that is immaterial. With a small company, we like to have a great technology and they were profitable, but very small revenue base, in Q1 almost no impact. In Q2 and for the rest of the year, minor impact but it’s growing and doing nicely. Other inorganic stuff we’re looking to that. As I think Dan, when we will announce, we’ll certainly announce it. At this point in time it’s not baked into our forecast revenue but you would -- but we do think it’d be above and beyond.
Dan Kurnos: Yes, I was just referring more to the big duration and the other small tech like acquisitions you’ve made before. But that’s helpful, Josef. So let me then shift to the other side of the business for a second, just on the -- first of all, Yacov if you can just give us quick housekeeping question to split the breakdown between product and other in the quarter. And just your thoughts on, Josef, you mentioned in the script and possibly in your prepared remarks about pursuing alternative or additional forms of advertising. We have talked before about getting more heavily into display. Obviously, that's been an area, a challenging area, AOL we’re seeing some pressure in that vertical. And I'm just curious, your thoughts on what you're going to do, from an advertising front, possibly, to enhance monetization portfolio?
Josef Mandelbaum: So just a housekeeping question, we had in the fourth quarter, about $5.9 million in advertising revenues and about $4.7 million in product revenues. And Dan to the second half to your question is probably parts to what Yacov said. The advertising revenues mostly we'll see a declining, mainly as a result of the lower number of searches we have and the number of homepages we had, that’s where most of the inventory comes from. So that declines one-to-one with the search revenue. The advertising we're talking about is actually we've had some relatively good amount of interest from other partners in the performance based space who are looking for us to leverage the data we have, to do some targeting on the advertising side. So we started building out our own ad network, representing other publishers’ inventory. We started that about two months ago, or about three or four months ago. We're seeing some good initial progress, it’s still small but we're hopeful about that. The focus there is probably more on video advertising with some display in fact even native advertising even on the Web and by the same token on the mobile front we are developing in-house now our mobile monetization solution again even lot of our data and our backend systems which we've had to do that. Previously, I think, you know Dan we were looking mostly in a large acquisition or acquisitions that kind of [vitreous] the mobile monetization space. And we just haven’t been able to fund the right acquisition even at the right price than we're willing to pay or with the right set of metrics that, as we go there, we decide to move forward. So we’re still -- we're not waiting, we’re building it again ourselves just to look and do something great, we will combine it with our internal asset.
Dan Kurnos: Great, and the last one for me, I'll step aside. Just on mobile, Josef, love to hear sort of your high level strategy on how you're going after new business now that you've got a complete product offering, which include both self-serve and in full service platform? Thanks.
Josef Mandelbaum: Sure. So we're actually really excited about the opportunity. On the demand side of the mobile equation, as you know, there are few, but not many, countries we're trying to solve this problem and we certainly hear the problem from all the large advertisers and agency guys we’ve spoken to. So, we think it was it's still early in the game and we have a good position and especially now with making rich acquisition. So there is two things we have to do, strategically to really ramp it up. And our objective is to ramp it up as really fast as we can in the next year or two. The first is we have to now continue to do the integration of the product to make one seamless platform and still add some features. So, where we launched the beta, and as you can imagine we get the gift, the feedback from our partners. And there is still some components of platform that we need to add. So, our focus, certainly at the beginning -- at the first half of the year, is going to be really focusing on developing the extra pieces of components of the platform that our partners need, it could be reporting, as a good example, we have a few different important mechanism, they have more. It could be more integration into other traffics versus the things like that, as well as, the most importantly, integration of the MakeMeReach platform with the GrowMobile platform. So the first one is all the products and technology integration, the second one -- and equally, if not more important, is we have to build out our sales organization. So, we have -- we just have the opportunities yet, because we've that platform in sale. So really our main focus for the first half, and probably first three quarters of the year, is to build a world class sales organization. We are actively recruiting now people and head of that sales group to really help spear that and building that organization. And the good news is, as you know in the ad world, especially in mobile ad world, there are lot of good candidates out there. We think we’ve very attractive opportunities for lot of people, a lot of simply because our stock price is low, so it’s a good time to get in for somebody who is trying to hire. And that will be a global head of sales and then with that well really we’ll have the organization, both domestically in the U.S. as well internationally. And those are two main things we're doing to really help us grow the business.
Operator: And we'll go next to Jay Srivatsa of Chardan Capital Markets.
Jay Srivatsa: Just one question, Josef, all the work you're putting in on the mobile side. When do you expect that business to start to become really material for you?
Josef Mandelbaum: So, Jay, first of all, thanks for joining and thanks for the question. As Yacov said earlier, part of the issue on the mobile front, as you know Jay is, it's a net revenue business. So, we said it today, right now, in 2014, combined, we managed all the $80 million in managed revenues for our clients. We expect that to grow nicely in 2015. If you look at companies, other public companies out there, they’re managing revenues or the growth revenues or managed revenues in sense anywhere from running from $300 million to $500 million or $600 million, somewhere $700 million. So it’s not that, there is more as we started recently that could be well over 100 million in 2015 and as we ramp up our sales we're respectively managing revenues as we said hundreds of millions of dollars and hopefully growing. Despite of the way the structure of the business works we only get a portion of that revenue whether it’s still on the self-serve business, it’s probably anywhere between 2% to 5% sometime it’s the fast model where it’s subscription model from ad agencies like that better and sometimes it's on a fully managed business didn’t get anywhere from 10% to 20% to manage own campaign. But if you look at that the meaningfulness of the business will be if we're managing a few hundred million dollars by the end of next year or with 12 months to 18 months from now, it’s already the big piece of the business. On the net revenue basis it is probably relatively small net revenue number but obviously we think the street will give a higher multiple of those revenues we said it’s a higher quality revenue than today when we’re getting credit for on the search side. So I think it depends on how you define relevant to the company, I think from a market cash standpoint or value creation stand point in think by the end of 2015 we should see, already start seeing it being relevant. In terms of revenue contribution I think you all see that probably end of 2016, 2017, it’s just hard to ramp up that number on the net revenue basis. I’ll give you an example, I like the company Marin Software is a public company, so it’s probably is expected -- managing $7 billion of managed revenues and we're doing about $100 million of net revenues. That’s a lot of money we’re managing, we're only making $100 million pressures the business model. $100 million is actually very nice number and we’re getting decent credit for. So I think you said that have proportionally the exclusively business model and devalue this overtime.
Operator: And we’ll go next to Aram Fuchs of Fertilemind Capital.
Aram Fuchs: When you purchase the ClientConnect business and then you grow mobile there, the strategy seemed to be that once you have the scale that you get from combining the IncrediMail and SweetIM with ClientConnect would allow you to offer monetization strategies that are probably more economic for your partners. It now seems that you’re more focused just on managing the actual media buy, is that a fair way to look at it or do you still see a competitive advantage from the scale?
Josef Mandelbaum: No, it’s -- it’s two different pieces of the business, we still believe there is leverage and we will get the leverage as we see the business stabilizes and we expand to video on display and other forms of advertising on the supply side, which means helping other companies monetize, we’re actually thinking probably that videos that we will be able to leverage. But just talking on the mobile side which is something which we just focused on this year, that’s on the demand side, that’s actually helping people acquire customers. We also are leveraging a lot of our backend system that we had others from old Perion, SweetIM or ClientConnect those backend systems help us, helped advertisers to manage their campaigns better. That business pretty much by everybody in the market place is on the net revenue basis and we’re leveraging some of our assets but the two actually demonstrate, they complement each other because if you’re making more money you got more money to spend on user acquisition which then could help you effectively get higher yield, changes in more profit so on so forth. But with regards to original premise, so saw far, this is disappointment for us this year as we had a few different opportunities to acquire something on the monetization side in mobile and the video and for various reasons they just didn't turn out the way you wanted, and that happens due to [that].
Aram Fuchs: And then you mentioned that Marin that they’re getting a nice multiple but are you looking at on sort of a generic return on investment capital basis, what are the cost underneath the net revenue, I don’t care about the revenue I just want to see the free cash flow.
Josef Mandelbaum: In Marin, Marin is actually still investing in the business heavily, that's correct. The actual, the cost basis is that we see it on the long-term basis obviously the gross margin on the net revenue are very, very high, so that is the good business. The actual cost involved and really ultimately depends growth percentage breakdown versus the fully managed campaign, but we think the EBITDA margins on that business for the long term can be easily in the 15% to 20% range on that piece of the business from the net revenue, which we think is very good. It takes couple of years to get there as we ramp up the business, but as we see it we're looking at cost base and that's going to take to build the business we're pretty confident that we can hit those margins on that business going forward.
Aram Fuchs: Right and there is not -- in regards to bring it all the way down to free cash flow, there is not much deep, right, there is not much capital expense on it?
Josef Mandelbaum: That's correct, again it's a low capital intensity business it's mostly labor growth and especially pretty much multi-year growth.
Aram Fuchs: Right.
Josef Mandelbaum: Somehow want to focus -- but nothing material.
Operator: And we'll go next to Robert Sussman of Bentley Capital.
Robert Sussman: I've got one question on the last conference call you indicated Josef that you would be buying stock as soon as the window opened after the third quarter. I was looking for that but I never saw it, did I missed that or…
Josef Mandelbaum: Good question Robert, thank you for asking. I did my job but you didn't miss it, for a power and issuance, there is no obligation to follow that in fact it's not recommended we follow it for a lot of different legal reasons, we don't want to get into. But trust me my General Counsel was very adamant about that, for us [indiscernible]. I did buy stock. Brought it at $7.40 of all new shareholders I too see with you, I still believe that the stock ultimately will grow and will get a good return on it but I did -- I think before the window closed roughly $50,000 worth of stock at the time, and see it going to open again I remember.
Operator: We'll go next to Kerry Rice of Needham & Company.
Unidentified Analyst: This is actually James dialing for Kerry. So my question is focused on the work force reductions and kind of what you see the cadence of that going into 2015 I know you kind of ramping up sales effort in the mobile advertising space. So what can we expect in terms of the G&A line in 2015?
Josef Mandelbaum: As we indicated last quarter generally speaking we're expecting both cost reductions that we implemented to save us approximately some $10 million going forward. That being said while we're reducing our course -- in the desktop area we're increasing our investments in the mobile space. So as we go forward we're not expecting dramatic changes in the G&A, we expect to reduce from where it is today but we don't expect that we're not expecting otherwise dramatic changes.
Unidentified Analyst: And follow up question just focusing on the advertiser profile, what's the geographic presence of your advertisers? I know MakeMeReach really gets you into the European markets, what's the current profile of the advertiser base?
Josef Mandelbaum: Sure, let's say roughly we have let's say 50 plus active clients we've obviously more than that, depending on the marketing spend some times the product launch according this starts, and the 50 active clients we have, so as you'd imagine France and Spain, Italy, Germany and a little bit in Scandinavia and UK is probably from a client basis 50 plus percent on the client. We have in Asia-Pacific a couple of big clients so probably a small number but big in spend. And the rest is in the North America, U.S. and in Canada. So, it's probably Europe 50% to be precise U.S. probably about 30% and 35% and then 40% and then APAC is about 10%.
Operator: And this does conclude today's question-and-answer session. At this time I'd like to turn the call back to Josef Mandelbaum for any additional or closing remarks.
Josef Mandelbaum: Thank you. Our focus in 2015 is to strengthen the foundation and to diversify our business by expanding aggressively into mobile. The year is off to a good start, and while our revenues and profits will be significantly lower in 2014, we will be very profitable and are committed to building a sustainable long-term growth company. At the end of this year, we strongly believe, our foundation will be stronger, our business will be stronger and our bright future will be obvious to all. Over time we believe our stock price will reflect the true value of our company and those with patience will be rewarded. As always, none of this would be possible without the professional support and hard work of our dedicated employees. To them I would simply like to say thank you. Thank you all and have a good day.
Operator: And this does conclude today's conference. We thank you for your participation. You may now disconnect.